Operator: Welcome, and thank you for standing by. [Operator Instructions]. Today's call is being recorded. If you have any objection, you may disconnect at this time. I'd now like to turn the call over to Mr. Whit Kincaid. You may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us on Mueller Water Products' First Quarter 2021 Conference Call. We issued our press release reporting results of operations for the quarter ended December 31, 2020, yesterday afternoon. A copy of the press release is available on our website, muellerwaterproducts.com. Scott Hall, our President and CEO; and Martie Zakas, our CFO, will be discussing our 2021 first quarter results, market conditions and our current outlook for 2021. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our website to accompany today's discussion and to address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call. It discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends on September 30. A replay of this morning's call will be available for 30 days at 1-800-839-4229. The archived webcast and corresponding slides will be available for at least 90 days in the Investor Relations section of our website. I'll now turn the call over to Scott.
John Hall: Thanks, Whit. Thank you for joining us today. I hope everyone listening to our call continues to stay safe and healthy. Before turning the call over to Martie to discuss our 2021 first quarter results, I will provide a brief overview of the quarter. I'm very pleased with our team's performance this quarter. Their execution helped deliver a strong start to the year. We generated an 11.7% increase in consolidated net sales in the first quarter with growth in both segments. Infrastructure achieved 12.3% growth versus the prior year, with strong volume increases across most of our product lines. The strong growth primarily resulted from higher end market demand driven by residential construction activity. Additionally, customers shifted some orders ahead of price increases and increased inventory levels for anticipated demand. Our teams remain focused on providing essential products and services to customers despite the operational headwinds resulting from the pandemic. We delivered a 19.5% increase in adjusted EBITDA with 120 basis point improvement in adjusted EBITDA margin in the quarter. We continue to face challenges from the pandemic leading to higher manufacturing costs and are now experiencing elevated levels of inflation. Our profit growth and continued improvements in working capital management helped us increase free cash flow during the quarter. As a result, we ended the quarter with over $220 million in cash, and our net debt leverage ratio decreased to 1.1x versus the prior year. Most importantly, based on our strong first quarter performance and current expectations, we are raising our annual guidance for consolidated net sales and adjusted EBITDA growth. I will provide more details on our updated guidance later in the call. I want to remind everyone that we released our first ESG report this past December. Our inaugural report reflects how sustainability has been an integral part of Mueller Water Products for many years. While highlighting our sustainability achievements to date, we discussed some of the ongoing initiatives to strengthen Mueller's focus and commitment to sustainability. Our entire organization is committed to minimizing our water and energy footprints while delivering smart products that are more efficient for our customers and safer for the environment. As we look to the future, our commitment to advancing our ESG goals will remain at the forefront of how we operate our business and positively impact our world. Later in the call, I will discuss our key strategies, end markets and our outlook for the year. With that, I'll turn the call over to Martie.
Marietta Zakas: Thanks, Scott, and good morning, everyone. I hope you and your families and associates are safe and healthy. I will start with our first quarter 2021 consolidated GAAP and non-GAAP financial results, then review our segment performance, and finish with a discussion of our cash flow and liquidity. During the first quarter of this year, we generated consolidated net sales of $237.4 million, which increased $24.8 million or 11.7% as compared with first quarter last year. The increase in net sales was primarily driven by increased shipment volumes across most of our product lines and higher pricing. Gross profit this quarter increased $5.8 million or 8% to $78.4 million with a gross margin of 33%. Gross margin decreased 110 basis points versus the prior year as benefits from higher shipment volumes and pricing were more than offset by unfavorable manufacturing performance, including approximately $1.5 million of additional expenses related to the pandemic and higher costs associated with inflation. Our total material cost increased approximately 3% year-over-year in the quarter, primarily driven by higher raw materials. Selling, general and administrative expenses of $49.2 million for the quarter decreased $700,000 versus the prior year. The decrease was primarily due to reduced expenses related to travel, trade shows and events as a result of the pandemic which were partially offset by an increase in personnel-related costs. SG&A as a percent of net sales was 20.7% in the first quarter compared to 23.5% in the prior year. Operating income of $27.8 million increased $7.5 million or 36.9% in the first quarter compared to $20.3 million in the prior year. Operating income includes strategic reorganization and other charges of $1.4 million in the quarter and $2.4 million in the prior year quarter. Turning now to our consolidated non-GAAP results. Adjusted operating income of $29.2 million increased $6.5 million or 28.6% in the quarter as compared to the prior year. The increase is primarily due to higher sales, partially offset by unfavorable manufacturing performance and higher costs associated with inflation. The estimated expense impact from the pandemic was a benefit of about $300,000 in the quarter. This benefit resulted from lower SG&A expenses, which were partially offset by additional manufacturing expenses in the quarter associated with addressing the pandemic. Adjusted EBITDA of $44.7 million increased $7.3 million or 19.5%, and adjusted EBITDA margin was 18.8% with a conversion margin of 29%. For the last 12 months, adjusted EBITDA was $197.9 million or 20% of net sales. For the quarter, we increased adjusted net income per share 37.5% to $0.11 compared with $0.08 in the prior year. Turning now to segment performance, starting with Infrastructure. Infrastructure net sales of $215.9 million increased $23.6 million or 12.3% as compared with the prior year, primarily due to increased shipment volumes across most of our product lines and higher pricing. Adjusted operating income of $41.7 million increased $6.2 million or 17.5% for the quarter compared to the prior year. The increase is primarily due to higher sales, which were partially offset by unfavorable manufacturing performance, including approximately $1.4 million of additional manufacturing expenses related to the pandemic and higher costs associated with inflation. The estimated expense impact from the pandemic was flat as the additional manufacturing expenses in the quarter, which reduced gross profit were offset by lower SG&A expenses. Adjusted EBITDA of $54.2 million increased $6.7 million or 14.1%, leading to an adjusted EBITDA margin of 25.1% and a conversion margin of 28% in the quarter. Moving on to Technologies. Technologies net sales of $21.5 million increased $1.2 million or 5.9% as compared with the prior year primarily due to higher volumes of metering and leak detection-related products. Adjusted operating loss improved by $300,000 to $1.5 million as compared with an operating loss of $1.8 million in the prior year. This improvement was primarily due to higher sales and lower SG&A expenses, partially offset by higher costs associated with inflation. The estimated expense impact from the pandemic was a net benefit of $300,000 in the quarter. This benefit resulted from $400,000 of lower SG&A expenses, which were partially offset by additional manufacturing expenses in the quarter. Technologies adjusted EBITDA increased $400,000 to $600,000 in the quarter as compared with $200,000 in the prior year, which yielded a conversion margin of 33% for the quarter. Moving on to cash flow. Net cash provided by operating activities for the first quarter improved $46.5 million to $34.1 million, primarily driven by improvements in working capital management. Additionally, cash used in operating activities in the first quarter of the prior year included the $22.2 million Walter Energy payment. We invested $15.6 million in capital expenditures during the first quarter, which is comparable to the $15.2 million we spent in the first quarter of 2020. Free cash flow for the quarter improved $46.1 million to $18.5 million compared with negative free cash flow of $27.6 million in the first quarter of the prior year. At December 31, 2020, we had total debt outstanding of $447.7 million and total cash of $223 million. We did not have any borrowings under our ABL agreement at quarter end nor did we borrow any amounts under our ABL during the quarter. At the end of the first quarter, our net debt leverage ratio improved to 1.1x from 1.5x at the end of the prior year quarter. As a reminder, we currently have no debt maturities before June 2026. Our 5.5% notes have no financial maintenance covenants, and our ABL agreement is not subject to any financial covenants unless we exceed the minimum availability threshold. Based on December 31, 2020 data, we had approximately $113.4 million of excess availability under the ABL agreement, which brings our total liquidity to $336.4 million. In summary, we have a strong balance sheet with ample liquidity. We continue to be well positioned to support our capital allocation priorities as well as to deal with any further challenges from the pandemic. Scott, back to you.
John Hall: Thanks, Martie. I will touch on our key strategies, end markets and expectations for full year 2021. After that, we'll open the call up for questions. We remain focused on our key strategies to grow and enhance our business, which include accelerating new product development, driving operational excellence, executing key capital projects, developing and expanding our Sentryx software sensing and control platform and implementing sales and channel strategies. While we are intently focused on driving operational improvements, the pandemic continues to provide significant challenges. COVID-19 continues to impact the lives of our employees, customers, suppliers and their families. Much of this impact can be directly measured through higher employee costs due to absenteeism and paid leave and higher manufacturing costs in many areas. However, we believe the direct and indirect effects contributed to our unfavorable manufacturing performance during the quarter. We expect that the operational challenges from the pandemic will continue to impact manufacturing costs throughout this year. Though there remains a high level of uncertainty regarding the pandemic, we continue to be hopeful that vaccines will help our employees and their communities return to a more normalized environment by year-end. In an environment where we are currently seeing higher levels of demand for many of our core Infrastructure products, our teams are focused on delivering the products and services to our customers to meet their time lines. We finished the first quarter with a healthy backlog. While this should help our net sales in the second quarter, there remains a high level of uncertainty due to the pandemic. Based on our experience over the past 12 months, the overall level of COVID-19 cases and rate of vaccinations in the communities in which we live and work, will be factors in our ability to increase sales and improve profitability. As Martie mentioned, we are experiencing higher-than-expected cost inflation, especially in our raw materials. We saw a sequential increase in inflationary costs in the first quarter and expect inflationary pressures to increase in our second quarter and continue throughout the rest of the year. We took actions to address the anticipated impacts from higher costs associated with inflation by implementing price increases for the majority of our infrastructure products at the end of the first quarter. Price more than covered material cost inflation in the first quarter, and we expect the full benefit of the price increases to be realized in the second half of the year. Our improved sales and channel strategies have enabled us to effectively manage our price cost ratio, and we currently anticipate that for the year, price will more than cover the cost of inflation. Going forward, we will closely watch these inflationary pressures and address price accordingly. Our new product developments and commercialization efforts prioritize digitally enabled products and solutions that focus on addressing utilities' most critical needs. We are increasingly incorporating technology into our Infrastructure product portfolio to expand our software capabilities and leverage the extensive installed base of our Infrastructure products. We are successfully converting existing leak detection and metering customers to our new Sentryx software platform, which will provide more opportunities for us to expand our technology portfolio with existing customers. We recently received our first commercial orders for the Sentryx software-enabled Super Centurion smart hydrant. Additionally, we have several ongoing smart hydrant pilot programs with water utilities and training projects with industry and city organizations. As we expand the number of digitally-enabled Infrastructure products in our portfolio, our Sentryx platform will be well positioned to become an essential tool for water utilities to manage their distribution networks. I'm very excited about the progress our teams are making on our digital solutions. We believe that customer adoption will gain momentum once we emerge from this challenging operating environment due to the pandemic. Overall, we experienced strong end market demand during the first quarter. We benefited from growth in the residential construction end market, and our municipal end markets continued to be resilient. As mentioned earlier, we believe our distributors increased inventory levels during the quarter resulting from anticipated demand and the impact of pricing actions. The residential construction end market was very strong in the quarter, as evidenced by a 30% increase in single-family housing starts. Builders anticipate strong demand this year and are increasing their lot inventories. While there are some near-term headwinds from the pandemic and supply side challenges, we believe that the residential construction end market will continue to experience strong growth this year. While the overall municipal end market remains resilient, the project portion of the market continues to be impacted by delays to varying degrees. Municipal customers continue to prioritize critical network maintenance and existing infrastructure projects. While we continue to see some delays in the approvals or implementation of new projects, we are not seeing any cancellations. We continue to expect that the project-related portion of the municipal water market will remain challenged as budgets adjust to the impacts from the pandemic. For Mueller, this impacts some of our product categories like metering, leak detection and specialty valve products. Now that we are past the election cycle, we remain hopeful that additional federal stimulus efforts will help municipalities get through this challenging period relatively quickly, so they can continue to address their aging distribution networks. I will now discuss our current expectations for 2021. Although we had a great start to the year, we are reminded daily that there remains a high level of uncertainty regarding the pandemic. For 2021, we anticipate that strong growth in the residential construction end market will more than offset any temporary delays in the project-related portion of the municipal end market resulting from the pandemic. In addition, our updated annual guidance takes into account our strong first quarter performance, backlog and current expectations for our end markets, price and inflation. We are raising our annual guidance for consolidated net sales growth to be between 4% and 6% as compared to our previous guidance for net sales to be between flat and 3% higher. We are also increasing our expectations for adjusted EBITDA growth to be between 5% and 8% compared with the prior year. We are moderating our conversion margin expectations at this time as we expect that operational challenges resulting from the pandemic will continue throughout the year, and we will experience higher cost inflation. Finally, we continue to expect to generate positive free cash flow for the full year. Our expectations assume that the pandemic's impact lessens during the second half of fiscal year of 2021 as compared with the prior year period. In summary, I continue to be extremely impressed by our team members' dedication to their customers, communities and fellow team members. I remain highly confident in our ability to navigate the uncertainty and challenges in this environment. Our top priorities during the pandemic will continue to be keeping our employees safe, protecting our communities, delivering exceptional products and support to our customers and increasing cash flow. Finally, we will continue to maintain a strong balance sheet and take a balanced approach to our capital allocation strategies, as we focus on reinvesting in our business, accelerating growth through acquisitions and returning cash to shareholders. And with that, operator, please open this call for questions.
Operator: [Operator Instructions]. First question in the queue is from Bryan Blair with Oppenheimer.
Bryan Blair: Can you approximate the top line or profit benefit of the shift in customer order timing?
John Hall: Customer order time, did you say?
Bryan Blair: Just the order timing, the pull forward of shipments?
John Hall: Yes. It's difficult. The price increase was effective in December, we announced in November. I would say that the pull forward was in the magnitude of $20 million, $30 million, something like that. But I think it's really immaterial because, frankly, it was almost all in the backlog build. And so I think that what we saw going through in sales was the combination of what the distributor was taking back into inventory plus the market growth. So I think we had - certainly, our growth was greater than market growth, but that was because of the heavy destocking in our Q3 last year.
Bryan Blair: Got it. Appreciate the color. I was hoping you could help us level set a bit on unrevised guidance. I mean, obviously, you had a strong start to the year. Top line momentum is better than expected. And you think price will more than cover inflation going forward. Looking at implied Q2 through Q4 outlook, you're expecting EBITDA margin kind of flattish year-on-year. So that strikes me as conservative, but I understand there are a lot of moving parts here. Any related color would be appreciated.
John Hall: Look, I think the big pieces that we have to look at is in the near term, Q2 is going to be our toughest comp by far. If you think about our Q2 last year, the last pre-pandemic quarter, we had double-digit growth over '19. So I think that thinking that we're going to be pre-pandemic double-digit on that, again, is something people need to think about. But the bigger issue on the conversion margin is to what degree are we going to see some of these indirect pandemic costs on the manufacturing floor. I feel confident that the market's rational that the increased costs associated with raw materials, increased costs associated with component increases, the pure inflation items that show up in indexes that the market will accommodate. What we have to do and what we've struggled with in our Q1 is all the inefficiencies of what was really high absenteeism. We had some employees work as much as 60 hours a week in our fiscal Q1. That is not sustainable in the long run. You start becoming less efficient when you kind of get over that 45-hour mark. So sustained costs associated with separating people having machines, not being sync because operators have to take different break times, all of those kinds of things, we have baked into our outlook. That's - the impacts of the pandemic are in our forecast. And so I think that if you were to get real blunt about it, Bryan, you can assume that we've assumed that the vaccine penetration rate won't be at a meaningful level from the majority of our employees until very late summer. Potentially early fall. That's kind of how we think about and that's how we constructed the forecast.
Operator: Next question in the queue is from Deane Dray with RBC Capital Markets.
Deane Dray: I appreciate the color on what - and sizing the potential pull-in from the price increases. Was there anything else kind of seasonally either the same or unusual budget-flush activity? Any sort of additional distributors restocking that you would call out in the quarter?
John Hall: Yes. I think that, that was the main driver. I think that the seasonal adjustment, the North has been relatively mild, so maybe a little bit more construction going on there in that October, November, December time frame, but ultimately, I think, as you and I discussed in a previous call at the end of our Q3 last year, we were down 17%. If you did that math, it probably took $20 million or $30 million out of the channel and inventory. And I think what you saw where we outperformed the market, certainly, a piece of that was the restocking. I have not seen - I'm not - I don't want to give anybody the impression that we're seeing huge share shifts or anything like that. That is not the case. I think we may have been a little stronger in the Southeast in Q1 or may have been a little stronger in the Southwest, where we tend to have strength in any event. So just the economic benefit of being in the areas, as we've talked in many calls, where there continues to be migration of people and good exposure there. And that's really all I can attribute the better-than-market growth to.
Deane Dray: All right. That's helpful. And on Technologies, I was - I like seeing the uptick in meter volume and was struck by what you didn't say. You didn't say anything about delays coming from site access. So maybe the volume is in terms of orders, but were you actually able to get the meters installed? And what does that do to sort of the timing of those projects?
John Hall: Well, certainly, the big movers for us, the projects that we loaded in, in the quarter for access in Q2, everything remains a go. And if you think about the announcements over the past year or so, Newport News, Newport Beach and others, those load-ins continue and access looks like we continue to be in good shape for installs in Q2. If that changes, of course, we'll have had the benefit of the Q2 look - sorry, the Q1 load-in, but then the take rate going forward would be slower. If our assumptions remain on target, then we'll have good growth in Technologies on a year-over-year basis.
Deane Dray: That's real helpful. And also just staying in Technologies, it was my understanding there's already a significant number of smart hydrants that have been deployed already, maybe it's not the Centurion model. But I know San José has talked glowingly about their experience with the smart hydrants. So just level set if there's - what's in the field now? And what's the kind of the next phase for this product?
John Hall: Okay. So we kind of have the approximately 20,000-ish, 30,000-ish acoustics-enabled hydrants deployed, and that technology continues to do very well. We've begun with pressure-sensing hydrants and that penetration, while much earlier than the acoustic, is also getting very good reviews as utilities try to use pressure monitoring to minimize the amount of water loss during idle times, midnight to 5 a.m. kind of thing and their networks, where they know their leaky and also put in pressure-control valves, pressure-relief valves, when they have really old infrastructure and water hammer is doing damage to infrastructure. And so those are the kind of 2 that are out there commercialized right now. Now in addition to that, you know we've come up with the let's call it, the Super Centurion smart hydrant is differentiated from the pressure monitoring and the acoustic monitoring in that it can actually collect literally hundreds of devices kind of within 100 feet of it and assimilate all that information, read it in either via Bluetooth or PAN networks and then transmit large data bursts back to a monitoring hub. And that is the third generation of, if you will, of smart hydrants, and it will be able to integrate water quality, acoustics and pressure and that was what I was referencing in my prepared comments that we've gotten our first orders for it, and we have several trials going. We think it's actually going to revolutionize water quality monitoring, along with infrastructure, health and asset management monitoring because instead of these closed architecture systems that the industry has accommodated for so long, you're going to start to see that there will be an ecosystem of centers that grows up and interfaces with the Super Centurion smart hydrant. And with our microservices, the way we've written Sentryx, we anticipate that depending on whether you're more worried about water quality, age of infrastructure, carbon content, water temperature, whether you've got in-source, all of these things, that we will be able to, as an industry, rapidly respond to and then have a communications infrastructure out there for monitoring to take place. And so I believe that in the future, Super Centurion smart hydrant as a hub for sensor collection and Sentryx as user interface to bring information from the infrastructure network out there back, are both going to be very well positioned to ensure, frankly, that we continue to win in hydrants, in valves in technology-enabled sensors.
Deane Dray: All right. That explanation was fabulous. I appreciate it and it really does solve the blind spot that utilities have in the pipe network, I get that. And just last one, just to clarify, are these - like the Super Centurion, is that field upgradable in terms of how it gets deployed? We can - we're able to replace the existing units?
John Hall: That is correct. Yes. So thank you, Deane. Yes. For everybody on the call, what we're talking about is, do you have to replace a new hydrant every time you want to go to a Sentryx-enabled smart hydrant? And the answer is, if your hydro was provided by us post 1975 and then we will be able to remove the bonnet or the cap, very top of the hydrant, take out the inners and insert electronic inners and change the cap. So you'll be able to retrofit any Super Centurion hydrant made post 1975, and you won't have to change your - don't have to dig a hole, you can basically take your capital cost way down.
Operator: Next question from the queue is from Joe Giordano from Cowen.
Robert Jamieson: This is Robert Jamieson. I just wanted to see if you guys could give us a little refresh on your municipal budget expectations for the rest of the year both CapEx and OpEx? And are there any changes from what you saw last quarter or anything else worth noting?
Marietta Zakas: So I'd say, overall, looking at our expected capital expenditures for the year. No change in outlook from what we provided by before. We're looking for about $80 million to $90 million for our capital expenditures for the full year. I'll just give you a reminder that in 2020, we did lower our guidance throughout the year, but that was largely because we took action when the pandemic came into being, we made the decision to focus on ways to preserve our liquidity and therefore, we took a hard look at capital expenditures. And most importantly, we pushed out some of the timing of the expenditures that were associated with our brass foundry in Decatur. So now as we look out to 2021, expectations are for that roughly to $80 million, $90 million. And certainly, the large projects that we have discussed before that remain underway that will take a good portion of that would be the brass foundry as well as Kimball, Tennessee.
Robert Jamieson: Okay. And then just kind of a follow-on on Deane's question. I just want to know your views on potential infrastructure bill, with the new administration coming in. How do you think you could benefit from that? And do you think that might help accelerate the rollout of technology-enabled solutions from municipalities once budgets start to normalize post maybe 2021?
John Hall: Yes. So kind of answer that two ways. One, I think that the pandemic is going to be a driver for water utilities to start adopting digital solutions at a faster pace. I think that the idea of having a truck roll to go flush a hydrant, having a truck roll to go exercise a valve, having a truck roll a, to go read a meter; or b, to do samplings are things that everybody is going to reexamine. I think if you look at industry in general, this notion of how people do their work? Is it the best way to do that work? It is something that we're going to see transform for all industries over time. With regard to actual infrastructure, I think I'm pretty - have been pretty public in saying that we're probably past in water, the point of no return that the repair thesis is going to continue. But in the near term, I'm very hopeful that Congress passes additional federal stimulus to address the pandemic. I think longer term, we remain hopeful that Congress will pass a comprehensive infrastructure bill that addresses not just drinking water infrastructure, but some of the more critical infrastructure needs around wastewater and rain water management, especially on the West Coast. These are all things that I think, as a society, we need. I believe that any awareness for water infrastructure investment is positive. And any money that impacts roads and bridges can be positive as well. I think bill that provides funding to rebuild the assets and invest in technology to manage utilities water networks could be the most beneficial to companies like ourselves, like Mueller. I don't think as an industry, we have been doing a great job of getting our fair share of stimulus. I think if you go back to ARRA, that there is an opportunity for us to band together and they basically have some of the same benefit that I think that you saw the roads and bridges guys get from ARRA back in 2008, where they had a very effective lobby. And so I think that we and others are very acutely aware that if Infrastructure build comes, we need to get water, wastewater and storm water management set aside because I think they're critical to our water infrastructure in 2021. And yes, we would actively entertain and actively be involved in doing some of that. I believe that we have really good projects that will help the American people. I believe we have a real need to get very serious about PFAS, to get very serious about water quality. So that the people, regardless of income strata, can basically have the basic need of clean drinking - fresh drinking water available to everyone. And we need as a country to do that. So in the near term, we continue to be very bullish with Congress and very active trying to get set aside for those programs. But they would be good for us, yes.
Operator: [Operator Instructions].
John Hall: Okay. Well, is there any other? I think that if there are no other questions, we'll give it a second operator, but then I'll go with some closing commentary there. So I want to thank everybody for joining us. Thanks for joining the call today. I'm very pleased with the strong start to the year. I think that we were optimistic, but certainly, 11-plus percent growth for the top line exceeded even our upper end of what we thought could be possible. And I think the resiliency of the muni market underpinned our strong position there. And then the growth in the resi market, along with a little more confidence, I think, in the distribution channel that things are going to get a little bit better, drove some really good results for us. I don't want to sell anything short. I want you all to know that the men and women who work here, especially our factories and hourly employees, I continue to be inspired by them and their focus and commitment to our customers, our focus and commitment - their focus and commitment to each other, everything they do to keep it safe. They've been very engaged. I've had the benefit and pleasure of being in Albertville. A couple of weeks ago, I got up to our new facility in Kimball, and these people are focused. They know what they do is important to those societies. They know what they do is important to Canadians and Americans, and they're willing to do their part, to work their extra time to make sure product continues to flow in. I think despite those challenges, we continue to deliver essential products and solutions our customers need and it's thanks to the men and women who work for us. But we remain committed to our investments in innovation and new product development. I think it would be very easy for us to moderate the new product development as we did with the CapEx. When we faced with the pandemic, we said, "whoa! we better slow the CapEx expansion, let's slow down the brass foundry in Decatur." So we slowed our burn there. But we've kept our foot on the gas pedal on software development, on device development, on integrating technology into Infrastructure products. And I believe as we come out of this pandemic, we will be well positioned. And so I believe our long-term future looks very, very good. I want to thank you all again, for joining us, but I want you to leave knowing that our performance during the pandemic, I think, has strengthened our position in the market. And I think we're building credibility for reliability with each passing quarter, where we're able to perform and deliver and continue to try and be as normal as possible. So I thank you for your continued interest in Mueller. And operator, with that, you can conclude the call.
Operator: This concludes today's call. Thank you for your participation. You may disconnect at this time.